Operator: Good morning. My name is Sylvia, and I will be your conference operator today. At this time, I would like to welcome everyone to the ROIC Second Quarter 2019 Earnings Conference Call.I will now turn the call over to Ms. Carol Merriman.
Carol Merriman: Welcome to Retail Opportunity Investments' 2019 Second Quarter Conference Call. Participants are currently in a listen-only mode. Following the company's prepared comments, the call will be opened up for questions.Please note that certain matters discussed in this call today constitute forward-looking statements within the meaning of the federal securities laws. Although the company believes that the expectations reflected in such forward-looking statements are based upon reasonable assumptions, the company can give no assurance that these expectations will be achieved. Such forward-looking statements involve known and unknown risks, uncertainties and other factors, which may cause actual results to differ materially from future results expressed or implied by such forward-looking statements and expectations.Information regarding such risks and factors is described in the company's filings with the Securities and Exchange Commission, including its most recent annual report on Form 10-K. Participants are encouraged to refer to the company's filings with the SEC regarding such risks and factors as well as for more information regarding the company's financial and operational results. The company's filings can be found on its website.Now I would like to introduce Stuart Tanz, the company's Chief Executive Officer.
Stuart Tanz: Thank you, Carol, and good morning, everyone. Here with me today is Michael Haines, our Chief Financial Officer; and Rich Schoebel, our Chief Operating Officer.We are pleased to report that here at the halfway mark for 2019, we are firmly on track with achieving our stated objectives for the year. In terms of property operations, year-to-date, we continue to meet, if not exceed our goals, having posted 2 highly productive successful quarters with strong same-space releasing spreads and same-center NOI growth as well as achieving a new record high portfolio lease rate.Along with focusing on delivering solid results, we also continue to work very hard at enhancing our resilient tenant base by focusing on making the absolute most of the ongoing strong demand from the broad and diverse range of daily necessity service and destination retailers. In addition to being squarely on track with property operations and leasing, we are also on track with our strategic objectives of enhancing the long-term intrinsic value of our portfolio.In terms of non-core property dispositions, during the second quarter, we continued to move forward with our strategy of exiting the Sacramento market. Specifically, during the second quarter, we sold another non-core property in Sacramento and we currently have an additional Sacramento property under contract, which we expect to close during the third quarter.We also have another property under contract to sell and one additional non-core property that we just put on the market. Year-to-date, we've closed approximately $31 million of dispositions and have another $43 million under contract, which, once we close, will put us at the high end of our original guidance in terms of 2019 disposition goal.We are also on track with our densification initiatives. At our Crossroads Shopping Center, construction on Phase 1 is now largely complete. Accordingly, during the second quarter, the developer commenced paying us ground rent. Additionally, with respect to shop space retail component, which we own and control, we expect the tenant to open and commence paying rent before year-end.With respect to Phase 2, we continue to make good progress with the city and continue on track thus far with the entitlement process. Phase 2 is currently planned, includes approximately 200 high-end apartments, along with about 10,000 to 15,000 square feet of retail.In terms of market demand, Amazon just recently announced that it plans to build a new 43 story, 1 million square foot office tower in Bellevue, just a short distance from Crossroads. This new tower is in addition to the 750,000 square feet of office space that Amazon has leased in Bellevue in just the past 12 months alone. Altogether, Amazon's office space is expected to bring well over 10,000 Amazon employees to Bellevue. Needless to say, this bodes very well for both our Crossroads retail shopping center and our multifamily densification strategy for the property as well.Additionally, Amazon's growing presence also bodes very well for our other Bellevue grocery-anchored shopping center that's nearby Bellevue Marketplace. Both Crossroads and Bellevue Marketplace are also in close proximity to Microsoft's headquarters. Additionally, Seattle continues to be the top-ranked market in the country. Our 16 grocery-anchored shopping centers in the Seattle market are currently 99.3% leased.With respect to the number 2 market in the country, that being the San Francisco Bay Area where our portfolio is 98.7% leased, we are also underway with the multifamily densification initiative at one of our shopping centers. We are currently in the entitlement process to build approximately 200 apartments, along with about 10,000 square feet of retail space, utilizing excess land, similar to our strategy at Crossroads.As we discussed on our last earnings call, we are pursuing both densification projects through 50-50 joint ventures whereby we will be partnering with highly successful multifamily developers.Now I'll turn the call over to Michael Haines to take you through our financial results for the second quarter. Mike?
Michael Haines: Thanks, Stuart. For the 3 months ended June 30, 2019, the company had $72.9 million in total revenues and $24 million in operating income. For the first 6 months of 2019, the company had $149 million in total revenues and $54.2 million of operating income.On a same-center cash basis, net operating income for the second quarter increased 4.6% to $49.3 million, an increase by 3.8% for the first 6 months of 2019, which puts us nicely above our previous guidance range for the year. A higher growth rate is largely attributable to getting new tenants open more expeditiously than we had projected back at the beginning of the year.Based on where we stand today and given our success during the first 6 months, we now expect same-center NOI growth for the full year to be between 3% and 4%, hopefully more towards the higher end of that range, although it's always a difficult number to project.Turning to net income. For the second quarter of 2019, GAAP net income attributable to common shareholders was $7.6 million, equating to $0.07 per diluted share. For the 6 months, GAAP net income was $20.8 million or $0.18 per diluted share.In terms of funds from operations. For the second quarter of 2019, FFO totaled $32.6 million, equating to $0.26 per diluted share. Affecting FFO in the second quarter as well as net income was a onetime settlement expense of $950,000, which is included in other expenses on our income statement. The settlement was in connection with the property we acquired back in 2010, which we're finally able to bring to a conclusion.With $0.26 of FFO in the second quarter, that puts us at $0.55 of FFO for the first half of the year. Notwithstanding having to absorb the settlement expense, we remain on track to achieve our previously stated FFO guidance range of $1.11 to $1.15 per diluted share for the full year.With respect to the company's balance sheet. At June 30, the company had a total market capital of approximately $3.6 billion with roughly $1.5 billion of debt outstanding, of which 90% of our debt is effectively fixed rate and over 94% of our debt is unsecured. Furthermore, we have no debt maturing for the next 2-plus years. Beyond that, our maturities are well laddered, and our interest coverage continues to be above 3 times.In letter of steadfast balance sheet, debt profile and credit metrics, both Moody's and S&P recently reaffirmed their long-standing investment-grade ratings and stable outlook on the company.Now I'll turn the call over to Rich Schoebel, our COO, to discuss property operations. Rich?
Rich Schoebel: Thanks, Mike. As Stuart highlighted, demand for space across our portfolio is strong, and we continue to work diligently to take our portfolio to new heights.In terms of occupancy, as Stuart noted, we achieved a new record high portfolio lease rate during the second quarter. Specifically, at June 30, our portfolio stood at a new record high of 97.9% leased. Leading the way was our Pacific Northwest portfolio, which stood at 99.4% leased as of June 30, with 25 out of our 33 shopping centers in the Seattle and Portland markets being 100% leased. In fact, portfolio-wide, we also set a new record during the second quarter with 45 of our shopping centers at a full 100% leased.Additionally, our anchor space continues to be 100% leased. And as of June 30, our shop space stood at a new all-time high of 95.4% leased. Safe to say that our leasing team continues to work very hard each and every quarter and continue to have great success at not only driving our occupancy higher, but also at finding creative ways to maneuver tenants, rightsize certain tenants and reconfigure spaces, all in order to continue capturing the strong demand, driving rents higher and enhancing overall tenant mix.Specifically, during the second quarter, we leased over 319,000 square feet of space, including 88,000 square feet of new leases where we achieved a 27.3% cash increase in same-space base rent. And we renewed tenants totaling 231,000 square feet, achieving a 10.7% increase in base rent.For the first 6 months of 2019, we leased 631,000 square feet of space, which just about equals the total amount of square feet originally scheduled to expire for the entire year, again, indicative of our hands-on proactive approach. And for the first 6 months, we achieved a blended 29% increase in same-space new leases and a 12% blended increase in terms of our renewal activity.With respect to the economic spread between leased and build space. At the beginning of the second quarter, the spread stood at 2.6%, representing approximately $6.5 million in additional incremental annual rent on a cash basis.As Mike touched on, we're making good progress at getting new tenants up and running. Specifically, during the second quarter, tenants representing about $1.9 million of that incremental $6.5 million opened their stores and started paying rent, of which $371,000 of the $1.9 million was received in the second quarter. Taking the $1.9 million into account together with our leasing activity during the second quarter, as of June 30, the spread was 2.6%, representing approximately $6.2 million, the majority of which we expect will come online between now and year-end.Now I'll turn the call back over to Stuart.
Stuart Tanz: Thanks, Rich. Underscoring our ability to post consistently strong portfolio, operating and leasing results quarter-after-quarter, year-after-year are a number of important factors, a couple of which I would like to quickly touch on.First is our diverse tenant base, the cornerstone of our business, as we'd like to say. Instrumental to maintaining our diverse tenant base is that we always operate with an eye towards minimizing our exposure to any single retailer in order to protect and manage our downside risk at all times.A good example of this would be Dressbarn who recently announced that it's closing all of its stores nationwide. While many landlords have considerable exposure, that is not the case with us. In fact, out of the roughly 2000 tenants across our portfolio, we have only 1 small lease for less than 5000 square feet with Dressbarn, and it's substantially below market. The spaces at our Crossroads Shopping Center, which is one of the strongest assets in our portfolio, that has been essentially 100% leased for 6 years running and where we have a long list of retailers seeking to become a tenant at the property. So needless to say, we are happy to have the opportunity to re-lease the space.Another underlying driver is our consistently strong results is our focus on owning and operating a pure-play portfolio of grocery-anchored shopping centers. For over 25 years, this strategy has been a key component of our ability to generate reliable cash flow as daily necessity goods and services are consistently in demand.In recent years, there's also been a strong and growing trend coming from a broad range of new retailers gravitating more and more to grocery-anchored centers. Most notably, this trend is being led by new retailers in the medical, fitness and restaurant sectors as well as a growing number of destination retailers.The key common thread is that they are all resilient Internet-resistant tenants, and all of them are seeking to be in close proximity to their target customers. In fact, out of the 161,000 square feet of new leases that we've signed thus far in 2019, roughly 70% of that has been with the types of tenants with the balance predominantly being traditional daily necessity retailers. Additionally, this positive trend has drawn a lot of attention from investors looking for assets with safe, long-term reliable cash flow.As a result, acquisition cap rates for grocery-anchored shopping centers in top, sought-after markets continue to be at historic low levels throughout the West Coast, especially for widely marketed properties. However, we are starting to see -- starting to make good headway in terms of possible off-market transactions. We currently have several interesting opportunities that we are evaluating that if they come to fruition, we could potentially acquire around $50 million or so during the second half of the year.Along with pursuing these acquisition opportunities, we continue to work hard at making the most out of the strong tenant demand as well as the strong market fundamentals to continue taking our portfolio to new heights as well as advancing our strategic initiatives.Now we will open up the call for your questions. Operator?
Operator: [Operator Instructions] Your first question comes from Christy McElroy from Citi.
Christy McElroy: Good morning.Just wanted to reconcile a couple of things on the revision to same-store NOI growth guidance. Maybe you could talk about, Michael, just on the credit loss, you had a pretty high bad debt reserve previously embedded in there. What is it now? And then, Rich, you talked a little bit about the lease that commenced spread. What do you -- where do you expect that spread to be at year-end?
Michael Haines: Hi,Christy, it's Mike. So on the first part, I guess with the reserve we typically budget for, for bad debt, I think we kind of look forward to 1.5% of total revenue. That's unchanged. We keep that in place for the entire balance of the year. So the same-store NOI is going to be reflective of what our actual bad debt expense was for the quarter, which in this case was lower than budget.
Rich Schoebel: And then in terms of the spread, Christy, I think that we're hoping that will come in a little bit, but we're going to be doing some more leasing between now and the end of the year. So look, some of that will be replaced, but I would expect it's going to come down just a touch.
Christy McElroy: Okay. And then you also had a pretty favorable property tax comp in the same-store pool. What sort of drove that? And what would be your expectation for expense trends for the balance of the year in same store?
Michael Haines: I think the first quarter might have been heavier because of a supplemental tax that we'll assess at one of our properties in Los Angeles, so it's lighter in the second quarter. So that would be a better run rate, I think, in the second quarter.
Christy McElroy: Okay. And then just lastly, you added a note receivable to the balance sheet. Was that from the asset sale this quarter? And do you have any additional seller financing sort of lined up? Is that something that you would do again?
Stuart Tanz: No, there's nothing else lined up in terms of the other dispositions. And in terms of the mortgage that we took back, we recently executed new leases at the property, including one to a prominent national retailer. So we really plan to wait until there was enough sales history established before we were going to bring this property to the market. However -- and the prospective buyers would have had to secure financing to get optimum pricing. However, what we ended up doing was selling the property to the grocery operator at an attractive price, and that's why we provided some interim financing. But they can -- they're going to be out securing permanent financing shortly. So that's why we took a note back very quickly.
Christy McElroy: Okay. Thank you.
Operator: Your next question comes from the line of Collin Mings from Raymond James.
Stuart Tanz: Good morning, Collin.
Collin Mings: Hey, good morning, Stuart. First question for me, just on G&A, that was up pretty meaningfully quarter-over-quarter. Was that just driven by some incremental leasing costs and maybe just expand on that? And how should we think about G&A over the balance of the year?
Michael Haines: Hey, Collin, it's Mike. I think Q2 G&A was a little bit elevated. Embedded in that number is some legal fees that we had to incur in relation to the settlement. Outside of that, it's probably -- leasing cost might have been a little bit higher too. But I would expect the run rate to be back to Q1's level.
Collin Mings: Okay. That's helpful. And then just as it relates to the settlement expense recognized in the quarter, can you just clarify, was that something that was contemplated in guidance originally? Or did that just come about during the quarter?
Michael Haines: It came about during the quarter, right.
Collin Mings: Okay. And then just stepping back to just disposition activity overall. I know on the February call, you guys indicated that the targeted cap rate for dispositions was, call it, 6.5% to 7%. Has that changed at all? And just maybe more specifically, what's the cap rate year-to-date on what's closed?
Stuart Tanz: Year-to-date, about 6.5% to 6.75%, and we expect that range to -- the rest of the dispositions are going to be in that range, maybe even a touch less.
Collin Mings: Okay. I'll turn it over. Thanks.
Stuart Tanz: Great. Thank you.
Operator: Your next question comes from Jeremy Metz from BMO Capital Markets.
Stuart Tanz: Good morning, Jeremy.
Jeremy Metz: Hey, guys. Good morning. Stuart, you mentioned potentially being able to acquire, call it, up to $50 million here in some of the off-market transactions you're looking at. So how should we think about and how are you thinking about financing those if you were able to get all $50 million across the goal line?
Michael Haines: Hey, Collin -- sorry, Jeremy, it's Mike. Looking at acquiring in the second half, we certainly have plenty of capacity in our credit line to fund acquisitions. That said, we would also look to issue equity unless it involves OP units. But needless to say, we're very mindful of our balance sheet and credit metrics as it relates to funding those acquisitions.
Jeremy Metz: All right. And just sticking with funding sources, you didn't mention recently putting another asset on the market. It sounds like the $43 million excludes that one. So is there any sort of rough parameters you can put on that in terms of potential size there?
Michael Haines: Between $10 million and $12 million.
Jeremy Metz: All right. And then last one for me. Stuart, I was just wondering, you mentioned some of the demand for assets in the West Coast markets. Can you talk about some of the pools of capital you're seeing out there and maybe also comment on what impacts some of these debt funds that have popped up or having?
Stuart Tanz: Sure. A lot of institutional capital and 1031 buyers. In terms of the pools, the debt funds are certainly helping to finance a number of these particular transactions as well as the ordinary financing alternatives.
Jeremy Metz: And does that include any Chinese capital coming back?
Stuart Tanz: Yes. Two of the transactions that we have been involved with have involved Chinese capital, 1031 buyers.
Jeremy Metz: Great. Thanks guys.
Operator: Your next question comes from Todd Thomas from KeyBanc Capital.
Stuart Tanz: Good morning, Todd.
Todd Thomas: Hi thanks. Good morning. Just first question, you previously were expecting a sharp acceleration in the same-store growth rate later in the year, and the guidance and your commentary implies that you pulled that forward a little bit. Are you still expecting a heavier commencement schedule later in the year? Can you just reconcile that a little bit with the deceleration in same-store NOI growth that's forecasted in the second half here?
Stuart Tanz: Sure. I mean, we are still expecting that forecast to increase as we move through the balance of the year. Mike, I don't know if you want to add anything.
Michael Haines: Yes. Like I mentioned, it's very difficult to project, and some of them may have been pulled forward. But the way our budgeting works is telling us that Q3 and, more importantly, Q4 is a larger number. So Q2 came in very strong, but we still expect Q3 and 4 to be strong, if not stronger.
Todd Thomas: Okay. And then just digging in on the same-store revision a little bit. So 100 basis points, it's about $0.02 a share, and you mentioned the approximately $0.01 for the settlement expense which impacted FFO in the quarter. Was there anything else offsetting the increase in the same store that caused the FFO range to be unchanged for the year?
Stuart Tanz: No.
Michael Haines: No, no, none that I can think of. Still holding...
Todd Thomas: Okay. All right. And then just in terms of the acquisitions, Stuart, where are you seeing opportunities? So if we think about the company's target markets, where would you expect to see the greatest opportunity for investment?
Stuart Tanz: Well, we continue to look at opportunities across all the primary markets on the West Coast. Supply is very tight, extremely tight. But right now, we have a couple of opportunities in front of us up in the Pacific Northwest, which is the tightest market, in my humble opinion, in the country, both in terms of tenant demand, which is occupancy, and in terms of how tight the market is in terms of widely marketed transactions.
Todd Thomas: Okay. Alright. Thank you.
Stuart Tanz: Thank you.
Operator: Your next question comes from Wes Golladay from RBC Capital Markets.
Wesley Golladay: Hey, good morning, guys. One more follow-up on the acquisition environment. What is the spread between your non-core assets and the core assets that you'd be looking to buy when looking at the cap rate? Is it tightening on the cap rate?
Stuart Tanz: Yes. We're not buying non-core assets, we're buying stabilized assets. But if you would look at the difference or the spread between cap rates between primary and secondary markets, that's running as high as 150 to 200 basis points.
Wesley Golladay: Okay. I'm just wondering if there's anything bigger you can do. You're exiting Sacramento right now. You upped your disposition program. It looks like cap rates for the non-core stuff is coming down. Do you have more appetite maybe later this year to increase the disposition program, maybe keep it at a comparable or maybe slightly lower level next year as long as you have opportunity to redeploy the capital?
Stuart Tanz: I would say, yes, we are continuing to come through our portfolio. I think the one difference with ROIC is there's no legacy in this company. But in terms of looking at the opportunity to dispose of more assets, we're still seeing a lot of NOI growth across our portfolio. But we're going to continue to monitor those opportunities. And depending on what we see on the other side in terms of acquiring, we may accelerate the dispositions going into later part of this year and next year.
Wesley Golladay: Okay. And then last one on the bad debt expense. Can you give us context of what you've averaged for the last 4 or 5 years as far as a good run rate for that number?
Michael Haines: It's been about...
Stuart Tanz: It's about 80 basis points.
Michael Haines: Yes. Yes, it's under 1%. We budgeted 1.5%, but it traditionally run just under 1%.
Wesley Golladay: Okay. Thanks a lot guys.
Stuart Tanz: Thank you.
Operator: Your next question comes from Barry Oxford from D.A. Davidson.
Stuart Tanz: Good morning, Barry.
Barry Oxford: Good morning. Stuart, when you guys are looking at acquisitions, it seems like, just kind of listening to some of the comments and the questions, that it remains a very, very tight market, very competitive market. My guess is you're getting outbid on stuff. Why not, if the market is so tight and occupancies are so high especially for well-located stuff, why not take on some more risk and move into a value-add type of situation where you can get a better going-in rate and probably lease it up pretty quickly in the markets that you're in?
Stuart Tanz: The landscape for risks as it relates to acquiring retail today has changed a lot over the last couple of years. Today, in terms of buying assets, we are more selective as it relates to the merchandising the tenant mix. So we really aren't focused on buying a grocery-anchored center that has more than 2 anchors, a grocery and a drug store at this point, given the overall retail climate. So that's the primary reason why we don't want to leave the risk profile and look at doing what I would call value-add opportunities.There's still a lot of velocity in the retail sector in terms of tenants that are having issues. And -- but on the good side, there's still a lot of demand in terms of tenants that are expanding. So for us, we really want to stay focused on what we know best, which is really acquiring that dominant stabilized grocery-anchored center and taking management -- our management team to create the value because that's what we've done for the last 25 years, and that's what we're going to continue to do. We're not willing at this point to really move out of what I would call the spectrum of what we know best.
Barry Oxford: Great. That make sense. Appreciate it guys.
Stuart Tanz: Thank you, Barry.
Operator: Your next question comes from Jon Petersen from Jefferies.
Stuart Tanz: Good morning, Jon.
Jon Petersen: Hey how are you?
Stuart Tanz: Good. How about yourself?
Jon Petersen: I'm doing great. So with -- I guess speaking on dispositions a little bit, so you talked about Sacramento as a market you want to exit. I wonder if you can give us a time line on when we should expect you guys to exit those final 3 properties you have there.
Stuart Tanz: Well, we have one under contract right now on top of the one that we sold. So we're really -- subject to this closing and I believe that it will close, we'll be left with 2 properties in Sacramento. We still have a bit more leasing to do on those properties, but the goal will be to try to have those under contract or have them closed by year-end. That's the goal.
Jon Petersen: Okay. Great. And then I was curious on the leverage side of things with debt to EBITDA. What does the guidance imply for a year-end run rate with that metric, roughly speaking?
Michael Haines: Well, with the dispositions that we're -- the proceeds from the dispositions that's going to knock that down a little bit, the trailing 12-month EBITDA calculation, our guidance is also contemplating market conditions permitting, doing a little bit of equity that's also going to delever. And further to that, it's certifying some acquisitions that involve OP units. That's basically equity into the balance sheet, which also improves the metric. So by year-end, we're looking at to be below 7 or below -- actually below 7.
Jon Petersen: Okay. Great. And then you talked about disposition cap rates in the 6.5% to 6.75%. Just kind of curious on the -- and I assume that's more focused on Sacramento in kind of some non-core-type properties. But thinking about kind of core properties in your -- the markets that you're going to be in, going forward, how should we think about cap rates in those markets and maybe the difference between marketed and off-marketed deals?
Stuart Tanz: Well, the primary markets on the West Coast side the rest of our portfolio is located in, certainly, cap rates are -- for widely marketed deals are in the sub-5s right now. Going forward, in terms of off-market versus market, I would tell you that could range anywhere from 25 to 50 basis points, depending on how much growth is in the assets in our underwriting. So the one thing we do look for is, if we're going to pay a bit higher valuation and less cap rate in terms of that spread off-market versus market, the key there is the growth of NOI after closing and what we can do as a management team to build value with that NOI growth.
Jon Petersen: Okay. Great. That make sense. Thank you very much.
Stuart Tanz: Thank you.
Operator: Your next question comes from Michael Mueller from JPMorgan.
Stuart Tanz: Good morning, Mike.
Michael Mueller: Hi, good morning. I was just wondering, in terms of just thinking about interest from potential sellers and unit deals, has anything changed dramatically over the past 6 months or so, 6, 9 months with -- given what's happened with the 10-year, given what's happened with the stock market? And is that changing, I guess, seller interest in taking your currency?
Stuart Tanz: Well, I mean in terms of currency, obviously, prices had an impact. We typically, in the past, have been selling that currency in OP transactions at a premium to where our stock had been trading. Since our stock has underperformed, we have sort of been -- the discussions have been a lot tougher with sellers. However, we continue to have some opportunities there, and those discussions seem to be picking up a bit now.So the one other change I would tell you is that given the fact that the most resilient part of the segment of retail has been the grocery-anchored segment, that sellers have been a bit more patient in terms of letting go of assets just because they realize that longer term, in terms of either exchanging the equity in these assets or finding a 1031 opportunity in selling the assets, they've been a bit more reluctant given the fact that it's been the most resilient side of the retail sector. So that's what's changed, Mike.
Michael Mueller: Okay. Thank you.
Stuart Tanz: Thank you.
Operator: Your next question comes from Chris Lucas from Capital One Securities.
Stuart Tanz: Good morning, Chris.
Chris Lucas: Hey, good morning, guys. Just a couple of quick follow-ups. Stuart, on the same-store NOI growth that you posted in the quarter, you mentioned that it was helped by getting tenants in a bit sooner. I guess, historically, you've had some issues with the timing of tenant rent commencements. And then when I think about sort of what the factors are, it's permitting and getting the work done and getting approvals done and it's also the tenant itself making decisions about when they want to open, is there anything you could talk to us about that would give us maybe more confidence about your ability to get the second half run rate done? Is it because the tenants are more accepting of getting their space turned over in a more timely way or you're able to execute through this permitting process better? Is there anything you can set some light on there?
Stuart Tanz: Well, Chris, I will tell you, I think we're doing a better job anticipating the re-leasing of the space. So we're getting way ahead of the process in terms of working with the potential tenant to start the permitting process before the -- an existing tenant either lease the space or while we're negotiating the lease itself or a new lease. So we're really beginning to step way ahead time-wise. And although we're spending a bit of money upfront that could be a risk, the trade-off in spending that money is really closing that gap in terms of getting that rent in a lot quicker. And I don't know, Rich...
Rich Schoebel: Yes. I mean I think it's just -- it's pretty hard to predict because it really depends on the use and whether you're converting like a retail use to a restaurant or taking in a fitness user, whether a conditional use permit is required by the municipality. There's a lot of factors that go into how long it might take. But as Stuart says, we're trying to be very proactive. In certain circumstances, we're having the prior tenants stay on for 6 extra months to bridge that gap while we're getting the permits. We're just trying to be creative in any way we can to reduce that downtime.
Chris Lucas: Okay. Great, thank you. That's all I have this morning.
Stuart Tanz: Great. Thank you.
Operator: And there are no further questions at this time. I will now turn the call back to Mr. Stuart Tanz for any final remarks.
Stuart Tanz: In closing, I would like to thank all of you for joining us today. If you have any additional questions, please contact Mike, Rich or me directly. Also you can find additional information in the company's quarterly supplemental package, which is posted on our website.Thanks again, everyone, and have a great day.
Operator: Ladies and gentlemen, this does conclude the ROIC Second Quarter 2019 Earnings Conference Call. Thank you for your participation. You may now disconnect.